Angelo Torres: Good afternoon. Thank you for joining us to review Robinsons Retail's unaudited results for the first 9 months of 2025. I'm Angelo Torres, [indiscernible] Corporate Planning and Investor Relations Officer. The speakers for this call are Stanley Co, our President and CEO; Christine Tueres, our MD for the Big Formats of the Food segment, Joanne Arceo our Group GM for the Drug Store segment; Celina Chua, our adviser for the Robinsons Department Store, Toys R Us, Sole Academy, and Spatio Group; and Theodore our Group GM for the DIY segment and Pets; and Dondon A. Gaw, our GM for Robinsons Appliances. Our Chairman, Mr. Robina Gokongwei-Pe, and Adviser for Corporate Planning, [Gina Roa-Dipaling] [indiscernible] call. So, [indiscernible] agenda for this afternoon's call. So we will provide an overview of our financial performance and share key updates across the organization. [Operator Instructions] So with that, I turn you over to Stanley CO, our CEO, to discuss our financial [indiscernible].
Stanley Co: Here are the highlights of our third quarter 2025 results. Consolidated net sales increased by 4.3% to [indiscernible]. Net results for sales growth of 1.6%. Gross profit rose by 5.9% to PHP 12.5 billion. EBIT grew by 3.1% to PHP 2.3 billion. Core net earnings increased 33% to PHP 1.5 billion. Net income [indiscernible] down by 13.5% to PHP 872 billion [indiscernible] expense and advertise losses for both sales. Earnings per share rose by 12.5% to PHP 0.79 per share due to lower number of [indiscernible] shares [indiscernible]. [indiscernible] 2025 consolidated net sales increased by 440% to PHP 149.3 billion. [indiscernible] sales growth registered at 3.1%. Gross profit rose by 6.2% to PHP 26.4 billion. EBIT grew by 4.5% to PHP 6.6 billion. Our net earnings improved by 3.9% to PHP 4.2 billion. Net Income to Parent decreased by 60% to PHP 3.1 billion. [indiscernible] reported early last year. [indiscernible] declined PHP 2.45 per share. Our [indiscernible] P&L in the sales grew 4.3%, PHP 50.8 billion in the third quarter. [indiscernible] sales to PHP 149.3 billion up 4.8%. Despite heavy rainfall, [indiscernible] same-store sales growth still grew by 1.6% in third quarter on higher basket size. With the [indiscernible]. [indiscernible] slightly 0.1% to PHP 2.3 billion in the third quarter and by 4.5% to PHP 6.6 billion due to the driven by improved category mix [indiscernible]. Net Income to Parent declined by 123.5% to PHP 807.2 billion in Q3 due to high expense from the DFI [indiscernible] buyback. From the higher associate losses earnings per share however increased by 12.5% due to gross shares outstanding from the shares by up from the DFI retail shares. Lastly, [indiscernible] Net Income to Parent [indiscernible] PHP 1.1 billion but 60% [indiscernible] last yearâ€™s [indiscernible] gains. Core Earnings overall rose 3% to PHP 1.5 billion in third quarter and PHP 4.2 billion [indiscernible] 0.5% quarter by the [indiscernible] period. [indiscernible] posted [indiscernible] sales growth [indiscernible] stores which does [indiscernible]. [indiscernible] delivered soft performance [indiscernible] both [indiscernible] digit growth in the third quarter. [indiscernible] businesses Food and Drugstores accounting for 80% of total net sales to 85% of total [indiscernible] for year to the September. Meanwhile our [indiscernible] Department stores, DIY and Specialty comprised 11% of net sales and 15% of the EBITDA respectively. In the first 9 months we opened 14 different stores and [indiscernible] Meanwhile our total store count is 2501. The store count is comprised of 777 [indiscernible], 1150 Drugstores, 51 Department stores, [indiscernible] DIY stores and 286 Specialty stores. In addition, we have 2180 franchise stores [indiscernible] and more store [indiscernible] are expected to be in the coming month. Passing the over to [Christine Tueres] for the food segment.
Christine Tueres: Thanks Stan. Food segment sales rose by 4.5% to PHP 31.1 billion in third quarter from PHP 25 billion driven by same-store sales growth of 2.8% and the contribution of 19 [indiscernible] stores. Same-store sales growth was supported by a higher basket size [indiscernible]. Due to this the sales reached PHP 90.2 billion up by 4% year-on-year. Our gross profit grew by 7.8% to PHP 7.8 billion in third quarter and 5.6% to PHP 20.7 billion in 9 months. [Outstanding] revenue growth and this was supported by increased [indiscernible] and higher penetration of [indiscernible] products. This led to the EBITDA growth of 6.6% to PHP 2.7 billion in third quarter and 5.2% to PHP 7.7 billion in 9 months. [indiscernible] Joanne for Drugstores.
Joanne Dawn Seno-Arceo: It was [indiscernible] double ratio [indiscernible] growth in third quarter [indiscernible] driven by same store sales grew at [indiscernible]. [indiscernible] new stores. For year-to-date September net sales increased by 9.8% to PHP 28.9 billion. Gross profit rose by [indiscernible] in third quarter and 15.4% year-to-date up to the same revenue growth. This was supported by price adjustments, higher penetration of house brands and improved vendor support. As a result, EBITDA grew by 14.2% to PHP 899 million min third quarter [indiscernible] year-to-date. [indiscernible] Celina.
Celina Chua: Department store net sales declined by 11.7% to PHP 3.3 billion in the third quarter due to the shift in school opening to June this year from July last year. Store renovations also in preparation for the fourth quarter season and stiff competition. On year-to-date, net sales still rose by 2.1% to PHP 11 billion driven by the opening of Robinsons department store [indiscernible] in the second quarter. As a result, gross profit declined by 10.5% in the third quarter. However, gross profit for the first 9 months of the year still grew by 3.1%, faster than net sales growth driven by a favorable category mix and strong vendor support. EBITDA declined to PHP 535 million in the first 9 months, reflecting higher operating costs. Let me turn you over to [Theodore] for the DIY segment.
Theodore Sogono: Our DIY segment posted 2% growth in net sales in the current quarter to PHP 2.9 billion supported by [indiscernible]. [indiscernible] reached PHP 8.6 billion [indiscernible] year-on-year. Gross profit was flat at PHP 951 million in the third quarter and PHP 2.8 million in the first 9 months. [indiscernible] were offset by increased [indiscernible] penetration and introduction of new higher [indiscernible]. However, EBITDA declined to PHP 916 million in the first 9 months. Due to higher [indiscernible] sector. I will turn you over to [indiscernible]
Unknown Executive: Business for the Specialty Segment rose 7.1% [with quarter to date] PHP 0.5 billion. [indiscernible] delivering double digit growth in [indiscernible] home appliance. Gross profit increased by 2.8% from [indiscernible] lower than the revenue growth. [indiscernible] appliances. EBITDA declined to PHP 426 billion due to higher OpEx, however, appliances EBITDA improved quarter-on-quarter up by 14.1% [indiscernible].
Unknown Executive: Our cash conversion cycle rose to 29.9 days driven by higher inventory days at 81.4% [indiscernible] items increased to meet strong demand for the peak season, and also our payable days were lower at 56.0. On our balance sheet, our net debt as of September 30 increased to PHP 30.1 billion. This is largely due to the acquisition loan for the DFI retail share repurchase, which we did last May. Despite this, our balance sheet remains fairly healthy with a net debt-equity ratio of 0.4x. Return on assets and return on equity normalized to 3.4% and 6.9%, respectively. This following the absence of a one-time gain from the BPI and Robinsons Bank merger, which was booked in early 2024. In advance of [indiscernible] CapEx, this amounted to 3.3 billion as of 9 months. This is up around 4% year-on-year. Food amounted for 61% followed by Drugstore segment of 15% share. With the balance [indiscernible]. And now tuning over to our [indiscernible].
Unknown Executive: Allow me to walk [indiscernible] some of our minority business in the [indiscernible]. [indiscernible] 662 in 9 months from 318 last year which led to net sales rising by 0.2 [indiscernible] to $349 million. [indiscernible] customers [indiscernible] $745 million from $4.4 million last year. [indiscernible] in the country. Growth [supported] by 2.1x growth in [indiscernible] to [indiscernible] [indiscernible] increased 21% from last year to $693 million [indiscernible] So let me update you on some key corporate developments across the business. [indiscernible] magazine [indiscernible] best companies of 2025 which recognizes companies for excellence in employees satisfaction, revenue growth and [indiscernible]. We were one only then believe in the importance on the global [indiscernible]. [indiscernible] welcome 13 [indiscernible] employees in August, [marking] their transition to regular employment after completing training under [indiscernible] ongoing commitment to [indiscernible]. And finally, per our guidance, we are maintaining our full year 2025 guidance, targeting 130 to 170 net new stores, mostly from the Food and Drugstore segments, where bulk of the stores will be opened this quarter. We are aiming for blended same-store sales growth to 4%, 20 to 30 bps expansion in gross margin, and allocating PHP 5 billion to PHP 7 billion for organic CapEx. This ends our presentation for our 9 months results. We will now open the floor for Q&A session.
Angelo Torres: Weâ€™ll begin the Q&A with the questions received ahead of time. So, from Felix of Philippine Equity Partners. Can you give us an update on the remaining balance of the debt used for the acquisition of the BPI shares? Also, what is the [indiscernible] interest expense related to thisâ€¦
Unknown Executive: As of 9 months, the outstanding balance on the BPI acquisition loan is PHP 10.8 billion. So this is unchanged versus June 2025. Interest expense is PHP 500 million [indiscernible].
Angelo Torres: The second question. Are all remaining treasury shares coming from the buyback of DFI own shares? Any plans for the remaining treasury shares?
Unknown Executive: Okay. So our treasury shares consist of 2 components. The first one would be 158 million shares is coming from the regular buyback that we started last March from [indiscernible]. And then we have also around 315.3 million shares after the DFI Retail buyback. So [indiscernible] the combination of few type of buyback so total cash under treasury [indiscernible] PHP 474 million, but if you will recall, we are currently in the process of retiring the 158 million shares just from the regular buyback program. We saw shareholder approval last September 16th to [indiscernible] retire these shares, and it would take about six months to complete the entire process -- at least six months.
Angelo Torres: For the final question, how much dividends did RRHI receive from its 6.5 [stake] in BPI?
Unknown Executive: Okay. So on the dividends --the dividend income from this stake is about PHP 680 million in 9 months.
Angelo Torres: Question from [indiscernible] of JPMorgan. What is the SSSG supermarket and CVS banners in the third quarter 2025, respectively? How our basket size and transaction [indiscernible] in both subsegments?
Unknown Executive: Thank you for the questions, Jeanette. For 3Q of supermarkets, SSSG is about 3% and for Uncle John's in 3Q, it's negative 1%. In terms of basket size, in 3Q for supermarkets were up about 7% to 8% versus last year. And for Uncle John's were up by about 1% in 3Q versus 3Q â€™24.
Angelo Torres: Follow-up from the [indiscernible] Your share color on trends and intensity of supplier support in 3Q 2025 versus 2Q 2025 and then 2024, which product categories are seeing higher than average supplier support?
Unknown Executive: Okay. Sequentially from 2Q to 3Q, we saw an improvement in supplier support. So generally, in the third quarter and in the fourth quarter of every year, supplier support ramps up. This is particularly because in preparation of the holiday peak season. On a year-on-year basis, for full year, we should be seeing an increase supplier support. The product categories where we're seeing more supplier support in the food segment or the food categories. Again, this is largely related to Christmas-related shopping, but the other categories, nonfood categories are also seeing very decent supplier support.
Angelo Torres: So from [indiscernible] on wholesale, what is SSSG in 3Q 2025? And what is the trend between basket size and transaction count? Can you share the latest EBITDA figures for wholesale? What is the target EBITDA breakeven for wholesale?
Unknown Executive: Maybe we can have [indiscernible] answer the first ones.
Unknown Executive: Yes, sure. Thanks for the question. I appreciate that. So our SSSG is aroundâ€¦ So our SSSG for the third quarter is around 19%, and that primarily comes from transaction count. So that is almost all of that is transaction count versus last year, basket size remains relatively stable. In terms of EBITDA breakeven, we are still targeting or we are targeting at the moment on a full year basis to breakeven in 2026.
Angelo Torres: For premium bikes, what is the latest update on the approvals in the premium bikes acquisition? When are you expecting it to close?
Unknown Executive: Okay. So this is still under review by the Philippine Competition Commission. We're still in Phase 1. And we still expect to close this year. So this is the target.
Angelo Torres: And then outlook for 2025, our top line SSSG and margins per segment.
Unknown Executive: Okay. On a blended basis, as what was mentioned earlier, we're looking at close to 4% SSSG and then gross margin expansion of up to 30 basis points. On a per segment basis, more or less should be aligned with this one. So Food would be about 3% to 4%, which is the main driver of margin expansion of around 30 basis points.
Angelo Torres: So a question from Victor [indiscernible]. Will the shares purchased from DFI be canceled? And the second question, how will this purchase affect your dividend policy? Will the company still maintain EPS?
Unknown Executive: Yes. Thank you, Victor. Still no plans as of today. You mentioned in the stockholders' meeting that thereâ€™s no limit or thereâ€™s no time limit as to when we can hold treasury shares. So again, no plans to [indiscernible]. And in terms of dividend policy, we're maintaining 40% payout ratio versus the previous year's net income comparable.
Angelo Torres: [indiscernible] supermarket only excluding Uncle John's, what is the SSSG in 3Q 2025? What is the same-store growth in ticket size versus transaction count in 3Q 2025? Another question would be what were the revenues from gross profit and EBITDA in 3Q 2025 [indiscernible] change year-to-year in 3Q 2025?
Unknown Executive: So for supermarkets only excluding Uncle John's in 3Q, that is [indiscernible] 3%. And then for 9 months about close to 4%. CapEx size for supermarket could be about 7% to 8% growth in the third quarter. And then the revenues were up about 5% to 6% for supermarket only in Q2. For 9 months about the same, and then EBITDA growing faster than net sales for both 3Q and 9M and [indiscernible] supermarkets only were up about around 20 to 40 basis points 3Q and 9M combined
Angelo Torres: For department stores [indiscernible] can you share what specific subsegments drove the steep drop in sales in SSSG? Any SSSG sales indications you can share so far for October? And then the second question, can you expand on the steep competition you mentioned for the department store or the key players you're looking out for?
Christine Tueres: For the subsegments that effect that the SSSG is more or less departments the back-to-school related departments such as shoes and baskets for children, [menâ€™s and ladies apparel] [indiscernible] the online sales then market recess.
Angelo Torres: Can you please discuss the expected impact of rapid expansion of the likes of [indiscernible] wholesale in their business year-over-year?
Unknown Executive: Thank you for the question. I think what we see is the first few months, some of our minimarts are affected in terms of [indiscernible]. This is because of that element of curiosity in the neighborhood. But after a few months, we're able to see a recovery in our sales because number one, it's a different market targeting the lower end of the mass market. We target the ground middle income market plus at about 3,000, 4,000 SKUs in our minimart dÃ©partement [indiscernible] complete the weekly basket requirements of shoppers. So we have fresh items as well [indiscernible].
Angelo Torres: From [indiscernible], what were the respective financing cost amounts related to A, the DFI share buyback and the financing of BPI shares for 9 months 2025?
Unknown Executive: For the 9 months 2025 for BPI its PHP 500 million up for DFI its about PHP 280 million.
Angelo Torres: From [indiscernible], how much dividend from BPI do you expect to receive in 4Q 2025?
Unknown Executive: The dividend per share paid in the second quarter was PHP 2.08 per BPI so they usually pay in June and sometime in the fourth quarter. So BPI PHP 2.08 and you have about 300 million shares and [indiscernible]. So that's the amount in 4Q.
Angelo Torres: Another follow-up, can you share the expected interest in 4Q 2005 to 2026?
Unknown Executive: For?
Angelo Torres: For the DFI. For both.
Unknown Executive: Combined its about 500 [indiscernible].
Angelo Torres: Another question from [indiscernible], why was the decline in SSSG in department store and outlook for 4Q?
Christine Tueres: SSSG with department store declined in the third quarter of this year due to the shift in the back-to-school opening, which was from July last year to June this year. So we expect to rebound in the last quarter of this year as our major renovations of our key stores will be completed in advance and sales will normalize.
Angelo Torres: From [indiscernible], given the recent buyback of shares, how much debt was available to complete the transaction and what was the increase interest expense as a result? This has been answered already.
Unknown Executive: [indiscernible] A little over PHP 50 billion to finance really DFI retail [indiscernible]. And in 9 months in â€˜26 stands about PHP 280 billion.
Angelo Torres: Another question from [indiscernible]. How have the different segments performed so far for the month of October? Are we seeing sales momentum pick up for discretionary?
Unknown Executive: This is mid-month October [indiscernible]. Our food SSSG is holding up pretty well even for our drug store business. For the other formats [indiscernible] is positive, but we're still seeing some challenges in the rest of, I mean discretionary items, sorry formats.
Angelo Torres: And then a final question for the Food segment, how do you describe current consumer behavior trends as downgrading and or preference surrounding [indiscernible]?
Unknown Executive: Downgrading is in the last two quarters. And the reason why we think this is so is because basket sizes are actually increasing. So in second quarter, basket sizes were up double digits and then 3Q were up 7% to 8% on a year-on-year basis. So with inflation quite steady at 1%, below 2%, we're seeing a very positive impact in terms of consumer baskets.
Angelo Torres: For [indiscernible], what led to the 6% year decline in royalty and other revenues in 3Q 2025?
Unknown Executive: I think this is just timing in terms of [indiscernible] but you can get back to you [indiscernible].
Angelo Torres: What drove the 17% year-on-year increase in [indiscernible] in 3Q 2025?
Unknown Executive: [indiscernible]. Can you clarify that question. Iâ€™m not sure that [indiscernible]... Well thatâ€™s OpEx excluding depreciation or [indiscernible] and just plus 9% [indiscernible] plus 6%.
Angelo Torres: And then another question, what drove the higher effective tax rate impeding 2025 to 29.5% versus 25.6% in 3Q 2024 220.2 in the first half 2025? What [indiscernible].
Christine Tueres: That was just quarterly timing for [Indiscernible]
Angelo Torres: Few questions from [indiscernible] and what is share so far in [indiscernible]?
Unknown Executive: Let me just clarify this again. For mid-month this is flat [Indiscernible] over 3%. So this is slightly above the net point of that 2%-4% as of [Indiscernible] guidance that we have for full year.
Angelo Torres: [Indiscernible] department store any [Indiscernible] sales indications you shared so far in October where you missed that FY â€™25 [Indiscernible].
Christine Tueres: Our October sales remain silent due to many weather disturbances and earthquakes and also our major renovations are still not completed. So, we expect to end the year positive low single digit.
Angelo Torres: [Indiscernible] view, what is the impact of the DFI divestment [Indiscernible] brand?
Unknown Executive: Thank you. So, the partnership with DFI in terms of the [Indiscernible] private label brand [Indiscernible]. So, this will be maintained even if they're no longer shareholders in the company.
Angelo Torres: Can you expand on the breakdown in revenue for the specialty segment? What percentage of revenues for appliance and other specialty stores?
Unknown Executive: Thank you, Michel. Appliances will be about 60% to 65%. Merchandise and toys would be about around 15% to 16% each. And then the balance would be pets, beauty and lifestyle [Indiscernible]
Angelo Torres: Can you comment on the overall demand scenarios across your various business formats? Any trend in the consumption you can share? What would be [Indiscernible] drivers going forward?
Unknown Executive: Very healthy for our food and drugstore business Indiscernible]. In fact, basket sizes in the third quarter alone are up. We're very happy with what we're seeing. In terms of margin drivers, a couple of things. Number one, increasing our mix of private label items for the drugstore segment. We're always improving the mix to see what works best. And hopefully, we get margin uplift from that. And then we're also adding [attendant] for important items, especially for the food business, which are also higher.
Angelo Torres: A couple of questions from [Indiscernible]. The store expansion target for 2025 and progress so far in openings. Will 2026 see similar store expansion plans?
Unknown Executive: We opened about on a net basis, we're around 50 new stores. Our target for this year is at least 130. We're still aiming to achieve that. Historically, we're opening a lot more stores in the second half of each year. For 2026 we will provide more color in the next quarter.
Angelo Torres: Another question from Paul. Given the majority of store openings will be in 4Q, did you see an increase in [Indiscernible]. related expenses in 3Q?
Unknown Executive: I think not much because our cash OpEx [Indiscernible] excluding depreciation in 2026 itself. We'll provide more color on the next call.
Angelo Torres: On DIY, when should we expect margin pressures from markdowns to subside?
Unknown Executive: [Indiscernible]
Angelo Torres: Which regions or areas [Indiscernible] are we prioritizing for new store openings?
Unknown Executive: Thank you for the question. We try to open where we think we can make money. But in the first 9 months, around 70% of our new stores were outside Metro Manila and for very clear reasons because it's much more [Indiscernible]
Angelo Torres: Has premium bikes been included in Q3 performance? If so, how much did the [Indiscernible] and how much do you expect?
Unknown Executive: We haven't consolidated premium bikes yet because we still have to wait for a formal approval from the regulator in particular the Philippine Competition Commission. But to give you context in 2024, the performance of premium bikes was about just 2% [Indiscernible] consolidated [Indiscernible] basis.
Angelo Torres: What is the percentage product ration of [Indiscernible] for supermarkets in the [Indiscernible].
Christine Tueres: For supermarket for food segment its 7.2% to 7.8% share of business and increase of 13.5% for [Indiscernible].
Unknown Executive: In bp size around 3%. This is combined [Indiscernible].
Angelo Torres: So would this needed any [Indiscernible]. Either any [Indiscernible] store level or [Indiscernible] levels.
Unknown Executive: I feel in [Indiscernible] in some banners -- some premium banners is in the up trading. But then generally the cost of banners now not much. I think whatâ€™s driving our basket size through is that we are seeing more spontaneous addition to their baskets.
Angelo Torres: And then [Indiscernible] are we seeing the same challenge for Specialty and [Indiscernible] in 3Q. 4Q [Indiscernible] formats.
Unknown Executive: Behind the involvement, I think the overall, the specialty segment is still holding up in October. I guess general consumers are [Indiscernible]. Daily priorities the stable items [Indiscernible] December [Indiscernible] up 2%, but [Indiscernible] unchallenged. But now month-on-month basis, a lot of them are also improving. So hopefully, with the Christmas spending happening soon, we see more positive results across the board for this segment.
Angelo Torres: No further questions, we will end the call. Thank you, everyone, for your time, and we look forward to seeing you at the next earnings call. Thank you.